Operator: Good morning, and thank you for standing by. Welcome to Cimpress' First Quarter Fiscal Year 2026 Earnings Follow-up Call. I would like to introduce Meredith Burns, Vice President of Investor Relations and Sustainability. Please go ahead.
Meredith Burns: Thanks, Michelle, and thank you, everyone, for joining us. With us today are Robert Keane, our Founder, Chairman and Chief Executive Officer; and Sean Quinn, EVP and Chief Financial Officer. We appreciate the time that you've dedicated to understand our results, commentary and outlook. This live Q&A session will last about 45 minutes or so and we'll answer both pre-submitted and live questions. [Operator Instructions] Before we start, I'll note that in this session, we will make statements about the future. Our actual results may differ materially from these statements due to risk factors that are outlined in detail in our SEC filings and the earnings document we published yesterday on our website. We also have published non-GAAP reconciliations for our financial results on our IR website. We invite you to read them. And now I'll turn things over to Robert.
Robert Keane: Thanks, Meredith, and thank you to our investors for joining today. Before Sean goes into a review of the Q1 financial results, I'm going to recap several of the strategic and operational themes that we covered in detail in our annual letter of July 29 and at our September Investor Day. And I'll provide a few examples from the first quarter of progress we've made in these areas. First, elevated products are driving a step function improvement in Cimpress' per customer lifetime value, especially at Vistaprint. By elevated products, we mean products that customers value more highly than our legacy products for building their brands and growing their businesses. Note as well that elevated products are typically still in the early stages of the web to print and the mass customization market disruption curve, and that means there's still a long runway for future market gain and market share gains by Cimpress. Elevated products make up a high percentage of product categories like signage, logo apparel, promotional products, packaging, labels and multipage small format products like books, catalogs, magazines and booklets. With these products, we are earning customer trust for a much larger portion of their needs, which means they become higher lifetime value customers, the customers with higher lifetime value. And we're achieving this both with businesses who were already Cimpress customers as well as with newly acquired customers. In the first quarter, Vistaprint grew revenues from promotional products, apparel and gifts, as well as packaging and labels at double-digit rates year-over-year. In our September Investor Day, I gave an example of custom paper cups and the impact that those products had to take one customer's lifetime value and multiply it fivefold in terms of gross profits. In the first quarter, Vistaprint started to optimize that new product offering, and that optimization drove an increase of more than 50% to the average item quantity. Another example is that, we are capitalizing and executing on our past and ongoing investments in our mass customization platform and our growing scale in the elevated product categories in order to reduce our cost of goods sold and to increase the velocity of new product introductions. Doing so expands upon our already significant scale-based competitive advantages, which we have in manufacturing, and it explains why we're investing significant CapEx in our production operations this year. At the same time, we are consolidating volumes of similar products from multiple Cimpress businesses into focused production hubs, which further reduces costs and increases the returns on our capital expenditures. A key enabler of this is MCP-enabled cross-Cimpress fulfillment. XCF connects the fulfillment operations of each of our businesses to the customer-facing operations of each of our other businesses. And it drove an incremental $15 million of gross profit in our last fiscal year, and we remain in the early stages of a multiyear layering of cross-Cimpress fulfillment-driven gross profits on top of last year's results. So here are a few examples from this last quarter, Q1 FY '26 of how manufacturing excellence is driving both cost reductions and benefits to our customers. First, all segments grew their cross-Cimpress fulfillment revenue by double-digit or triple-digit growth rates this quarter. And that's now a material part of the volume growth for Upload & Print, National Pen and BuildASign segments, and it shows up in their revenues. And XCF is also very importantly, a material driver of how Vistaprint is rapidly expanding into elevated products, which, as I just mentioned, help us expand our wallet share of the Vistaprint customer base. In terms of improved value for our customers, MCP's newest fulfillment software has enabled Vistaprint to launch next-day delivery of business cards in the U.S. in the last quarter. And National Pen migrated to the MCP shipping and logistics platform for National Pen's largest production facility, which immediately improved its ability to predict delivery dates and improve the accuracy of all the related customer communication around delivery. It also supports network-wide optimization and smarter decision-making across Cimpress since National Pen is a very important fulfiller to other Cimpress businesses. Third, shared technology, organizational delayering and artificial intelligence are helping us constrain operating expenses while improving customer value. For example, in Q1, Exaprint migrated its Spanish site to MCP e-commerce infrastructure, and that is paving the way to migrate all of Exaprint's geographies in the coming year, which will lower technology costs and improve the Exaprint site functionality. In another Q1 example, Vistaprint rolled out generative AI chatbot, agent assist and customer self-service features that have collectively improved customer care efficiency by 6% year-over-year. And fourth, we have a strong financial future with a path to FY '28 EBITDA of at least $600 million, coupled with very significant delevering on our balance sheet. The cost reductions, which we took in the second half of fiscal '25 are already supporting operating expense leverage in both Vistaprint and National Pen. We see many more opportunities, big and small that will allow us to deliver on the $70 million to $80 million of annualized adjusted EBITDA improvements that we expect to have exiting fiscal '27 as part of our bridge to FY '28 targets. A portion of these savings will come from improvements in our cost of goods as we continue to progress in manufacturing and supply chain excellence via our CapEx investments across Cimpress fulfillment and focused production hubs. Another portion will come from opportunities to further reduce operating expense via organizational simplification and generative AI. Next, our tech modernization and the operating model, which it enables has continued to mature, and this has made the capabilities and the strengths of each of Cimpress' businesses more and more extensible to other Cimpress businesses, thanks to more standardized and shared software services. Cross-Cimpress fulfillment has been an early example of shared product catalogs -- cross-Cimpress fulfillment with its examples of shared product catalogs and supply chain has been the first instance of this. But over time, this approach will also allow us to consider new approaches to how we allocate our resources in areas like advertising and operating expense in support of both revenue growth and efficiency. So we're excited about the opportunities ahead to fulfill our multiyear financial objectives, and we're actively working to chart an even stronger financial course over this time period. Now, I'll turn things over to Sean, who can discuss the financial results for the quarter as well as our outlook.
Sean Quinn: Great. Thanks a lot, Robert, and thank you to everyone for joining us today on the call. As we noted in last night's release, our first quarter marked a strong start to the fiscal year. Our revenue growth rate improved sequentially, exceeding our annual guidance range. And when you couple that with strong profitability, this provides a good foundation for achieving or exceeding our fiscal 2026 financial objectives. So let me walk through some of the details. Our consolidated Q1 revenue grew 7% on a reported basis and 4% on an organic constant currency basis. For those that joined us for our September Investor Day, there I had said our organic constant currency growth at that time was tracking to about 5% that was in September. We ended at 4.4% with backlog a little higher than we had planned. So we maintained that pace. The main sources of growth in the quarter were from Vista and our PrintBrothers segment. In Vista, we drove continued strength in elevated products and specifically within promotional products, apparel and gifts and packaging and labels, which each grew significantly year-over-year. These product categories contribute to our ability to attract and retain high-value customers. Turning to our legacy products, there in the business cards and stationery category, we declined 1% this quarter in constant currency versus a 4% decline in Q1 of last year. So that was an improvement as well. And there, we're benefiting from the work that we've done over the last year to improve the offering, but also to optimize after the organic search algorithm changes that we experienced last year, as well as the passing of the anniversary of the reallocation of some of our advertising spend away from that category based on incrementality testing that we had done. Turning to our other segments. Upload & Print delivered solid growth through customer growth and also order volume growth. Reported growth there was 15% and constant currency growth was 8% combined. And in National Pen and BuildASign there, the revenue growth was driven through their growing role as a key fulfillment partner for Vista. Turning to profitability. Our adjusted EBITDA increased $10.9 million year-over-year. That was our highest ever EBITDA for Q1 period. It was an 11% improvement over our previous high, which was in Q1 of fiscal '24, and it was a 12% increase over last year. So strong profitability result for the quarter. In Q1, gross profit dollars grew 5% on a consolidated basis from the continued success that we've seen in elevated products, as I mentioned previously, and gross margins at the same time contracted 80 basis points, partially due to the ongoing product mix shift that we've been talking about for some time now. In Vista, as we continue to move Vistaprint to be the preferred print provider for a broad set of customer needs, especially with high-value small business customers. It's important that we're able to acquire and grow the wallet share of these customers. Robert referred to this a bit earlier. We added a new metric for Vistaprint in the earnings document, also in our financial and operating metrics spreadsheet that we published on our IR site, which is our variable gross profit per customer as one way for investors to be able to understand our progress over time and also sort of look back at how that's trended over the last years. As noted in our release, that variable gross profit per customer grew 7% year-over-year. And consistent with what we covered at our Investor Day, nearly all of this growth in Q1 is coming from our top 2 customer deciles and in particular, the top decile, which we think is a positive signal relative to the areas of our strategic focus. The net impact of tariffs on our gross profit was minimal this quarter. I saw a question just come in on that. So we'll cover that in a bit in some more detail. There, we were able to offset almost all impact through pricing adjustments. Our largest tariff exposure remains at our National Pen business, and we continue to focus on mitigation there through pricing and supply chain optimization. We also continue to execute against our plan to drive advertising efficiency. Advertising spend as a percent of revenue was down 80 basis points. And then lastly, currency had a $2.9 million benefit to our adjusted EBITDA during the quarter as well, and we do expect to have some further year-over-year currency benefits over the remainder of the year. Adjusted free cash flow improved year-over-year, too, but was an outflow of $17.8 million, driven by the typical seasonality of our net working capital, but also planned higher capital expenditures and capitalized software expense versus the prior year. And from a balance sheet perspective, our net leverage at the end of Q1 was 3.1x trailing 12-month EBITDA as calculated under our credit agreement. That's flat from last quarter, and our liquidity position remains strong with cash and cash equivalents just over $200 million at the end of the quarter and our $250 million revolving credit facility remained undrawn at the end of the quarter as well. Turning to our guidance. We've reiterated our expectations for the fiscal year, which is that we expect revenue growth of 5% to 6% or 2% to 3% organic constant currency revenue growth, net income of at least $72 million and adjusted EBITDA of at least $450 million. We expect operating cash flow of approximately $310 million and adjusted free cash flow of approximately $140 million. And we expect net leverage to decrease slightly by the end of the fiscal year, and we expect to drive more significant decreases in our net leverage in fiscal '27 and fiscal '28 as we execute on our multiyear plans. That all while still being able to allocate capital to the repurchase of shares along the way. So our Q1 results position us well to meet or exceed these FY '26 expectations that we've reiterated. At our September Investor Day, we also discussed and Robert referred to this earlier, our outlook through fiscal '28. And the reason -- one of the reasons we did that is that's the first full year that we expect to see approximately $70 million to $80 million of benefits from efficiency gains that we described at the start of the year. The successful execution of our plans would result in Cimpress delivering at least $200 million of net income and at least $600 million of adjusted EBITDA in fiscal '28 with approximately 45% conversion of adjusted EBITDA to adjusted free cash flow. As Robert said, we have goals and aspirations to chart an even stronger financial course over this time period. That's something that we're actively working to do. And with that, why don't we turn it over to questions, Meredith?
Meredith Burns: [Operator Instructions] So our first question is for Robert. Congratulations on a strong quarter. How was consolidated revenue "only up 4% on an organic constant currency basis if Vista was up 5%, PrintBrothers up 8%, Print Group up 8%, National Pen up 8% and all other businesses up 8%, again, all on an organic constant currency basis?" I'm sure I'm missing something.
Robert Keane: Thank you for the question. It's a good question, and it's also important to understand one of the core parts of our strategy. This is due to cross-Cimpress fulfillment where businesses get revenues and profits from fulfilling for each other. But that revenue for a business selling to another Cimpress segment is eliminated in our consolidated results. And you can see that at the table at the top of Page 5 of last night's release. This is the intersegment eliminations line just above the total revenue line. Our segment reporting follows our internal management reporting to incentivize our teams to drive cross-Cimpress fulfillment. Now let me step back again and just touch on cross-Cimpress fulfillment and say why we're so excited about this because it is very beneficial to Cimpress as a whole. And this change in how we do the internal accounting and financial incentives has been one of the pillars of driving this growth because it incentivizes the teams to look beyond their own business. And we're channeling very strong manufacturing and supply chain capabilities that come from a given part of Cimpress towards other parts of Cimpress who have customers and customer bases who want those products. And this is happening in many different directions, including Vistaprint supporting other parts of Cimpress. But it's happening most significantly where National Pen, BuildASign and Upload & Print are fulfilling for Vistaprint and driving or helping Vistaprint drive into elevated products and the service of high-value customers. So we do expect this to continue to increase, and it's a great example where we are leveraging synergies across all of Cimpress.
Meredith Burns: Thank you, Robert. Next question is for Sean. Sean, what is the current status of your dealings with Spruce House, who filed as an activist over the summer? Have you talked to them?
Sean Quinn: Sure. We have that with Spruce House, and we appreciate their feedback. We appreciate the feedback of all of our shareholders and debt holders, many of which we've also spoken to in the normal course over the last quarter. I think as we wrote in our annual letter in July, we believe that the recent share price doesn't reflect our intrinsic value. And so, that's where all of our focus is. And we believe that as we execute against the plans that we outlined both in September at our Investor Day, but also we've reiterated last night and today, we think that, that's what can change that paradigm. And so, that's where all of our focus is and -- but we certainly appreciate their feedback and the feedback of any of our investors in terms of how we can best do that. And yes, that's where all of our focus is.
Meredith Burns: Great. Thank you. Sean, I'm going to stick with you. So a question, on the fiscal 1Q guide, which you reiterated, I think that's for the fiscal year that we reiterated. Can you unpack a bit more how the first quarter of '26 results position you for the remainder of the year and how you're thinking about the shape of the year?
Sean Quinn: Yes. I mean, we didn't give quarter-by-quarter guidance, but I think clear -- obviously, our revenue growth rate was ahead of the annual growth range that we provided. So we're off to a good start there. I think you all have less visibility to the pacing of -- from an EBITDA perspective in terms of what's required to hit that at least $450 million. And I think it's fair to say that our Q1 results were kind of ahead of the pace needed in our plans to do that. And that's why you see language like Q1 being a strong foundation for us to be able to achieve or exceed our plans for the full year. So I think the main takeaway should be off to a good start. We feel confident -- very confident about our plans to meet or exceed this guidance. And listen, like we put that guidance in place with a clear understanding that we have a very strong commitment and a need to meet or exceed that. And so, off to a good start. Q2 is obviously a very important quarter for us. And so, we need to make sure that we continue that execution through Q2, and of course, the remainder of the year as well. But let's get through a strong Q2. And we'll update everyone again in a few months on that, and we'll go from there. But I think the takeaway should be off to a good start and the pacing is ahead of the pacing needed to meet the guidance that we provided for the full year.
Meredith Burns: Thank you, Sean. All right. Next question, I'll stick with you, Sean. Can you speak to the impact of tariffs during the quarter? Was it something that had an initial shock and then normalized throughout the quarter? Or was the overall impact relatively muted?
Sean Quinn: Yes, sure. A lot happening and continues to happen on this front. I think the headline here is that, as I mentioned briefly in my remarks earlier, the impact of tariffs was pretty minimal, less than $1 million on a net basis for the quarter. And there was no -- in terms of like was there an initial shock and then normalization, I would say no. It was -- there was not any sort of strangeness in the profile of how that happened in the quarter. There's -- one of the things that changed during the quarter was the removal of the minimis exemption, and we really didn't see anything of any material nature there as a result of that change, which is good to see. And we continue to be very focused on our risk mitigation efforts there. Taking a step back, we -- the overall picture really hasn't changed from what we outlined even back in the April time frame, and we've updated since then, which is that, there are a large part of our revenue base in terms of things that are fulfilled outside of the United States for United States customers that are excluded or exempted under IEEPA, but also USMCA. And so, that broad coverage still exists. And so, we feel quite good about where we're positioned right now. That doesn't change the fact that we'll continue to make sure that from a supply chain perspective that we're doing everything we can in terms of risk mitigation. But really no overall change to our position from what we would have updated 3 months ago. We feel good about our position and yes, very minimal impact in the quarter.
Meredith Burns: Thanks, Sean. All right. So, Sean, we've had a couple of questions about the holiday quarter as well. So is there a framework that you can provide for how to think about the upcoming holiday season? Past experience has shown that competition for holiday-related consumer products has put pressure on your revenue growth as others try to compete more forcefully on price? And how are you thinking about the business' position heading into the holiday season, especially the consumers?
Sean Quinn: Sure. Yes, there's a lot here. It's obviously a very important time of the year for us, and there's a lot of planning that goes into it. I think last year, we had a number of headwinds that were from a macro perspective or kind of outside of our control. We also had just structurally in terms of how the calendar was set up, the most unfavorable setup, also a presidential election, which tends to be unfavorable because it kind of distracts from some of the buying season, especially the early part of the buying season. And then we had the organic search changes, which were a real headwind last year as well. So if you sort of fast forward to this year and how those things change, I think, of course, there continues to be some volatility from a macro perspective, and it's impossible to know exactly what impact, if any, that can have on consumer behavior, but also things like the postal system in Canada, for example. But I think structurally, it's better than last year. We have 1 extra buying day. The headwinds that we faced in organic search, we feel very good about the progress that we've made there. The growth in the organic search channel for a number of reasons, but we put a lot of emphasis there has been showing very nice results even heading into the holiday season. So we feel good about having addressed that material headwind last year. So we're confident in the plans as we head in. I think it's one of the things that we've really -- the question refers to just some of the competition that really spikes in those peak weeks. What we've really tried to do is take a step back this year and think about how do we really lean into our strengths, our areas of strategic focus that have been driving success outside of the holiday season as well and where is their relevance in the holiday season to really lean in further to those areas. So we feel really confident about the plans. The team is ready to execute. And like I said, I think we're lapping what were some structural headwinds last year or some other headwinds that we feel like we've addressed. And so, we feel good heading into the holiday season.
Meredith Burns: Excellent. Thank you, Sean. I'm going to stick with you again, and this is a question that I don't think you've seen yet. So why was tax expense so high at $17.8 million, eating up most of the $24.4 million income before tax? Can we expect high tax rates in the future?
Sean Quinn: Yes. Listen, I think our GAAP tax expense and our GAAP tax rate, to be honest, are, I think, are difficult to understand quarter-by-quarter because of a number of things, both in our structure, but also the ways that the accounting rules require us to handle certain things quarter-by-quarter, especially with the seasonality of our profitability as well. And so, I would -- so the headline to your question is tax expense increased because our year-over-year increase in profitability. I would encourage you to focus more on cash taxes because I think that's both a more straightforward story, but also one that, as you think about how you model it, I think, is one that you can more consistently model those economic drivers in relation to our profitability. And there, cash taxes were lower than the P&L expense, but they're higher year-over-year, and we talked about this in some of our remarks at the end of July that we expected cash taxes to be higher this year, and that was one of the principal drivers of that is that, we received some refunds last year that won't repeat. And so, that was one of the drivers for Q1. But we do expect that for the full year, our cash taxes will increase, also driven by profitability increases that we expect this year as well.
Meredith Burns: Great. Thank you. That is all of the pre-submitted and live questions that we have received. So I'm going to turn things back to Robert to wrap the call up.
Robert Keane: Right. Thank you, Meredith. As I hope you've heard, Cimpress is off to a great start for fiscal '26, and we are progressing in the 3 key areas that I discussed briefly today, and we covered in much more detail both in our Investor Day and in the July letter. So first, elevated products are driving a step function improvement to Cimpress' per lifetime customer value, and that's especially true in Vistaprint. Second, we are capitalizing on our past and ongoing investments in our mass customization platform and our growing scale in elevated product categories to reduce our cost of goods sold and to increase the velocity of new product introductions. Third, shared technology, organizational delayering, simplification and artificial intelligence are helping us to constrain operating expenses while improving our value that we deliver to our customers. And finally, we have a strong financial future with a clear path to fiscal '28 EBITDA of at least $600 million, accompanied by very significant debt deleveraging. So I'll wrap up by saying thank you to our investors for joining the call, and thank you for continuing to entrust your capital with Cimpress. Have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.